Operator: Greetings, and welcome to the Vicinity Motor Corp. Third Quarter 2022 Corporate Update Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the formal presentation, I'd like to remind everyone that statements made on today's call and webcast including those regarding future financial results and industry prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's regulatory filings for a list of associated risks, and we would also refer you to the company's website for more supporting industry information. I would now like to hand the call over to William Trainer, Founder and Chief Executive Officer of Vicinity Motor Corp. William, the floor is yours.
William Trainer: Thank you, operator, and good afternoon, everyone. I'm pleased to welcome you to today's third quarter 2022 corporate update conference call. The third quarter of 2022 was highlighted by strong momentum in our VMC 1200 class 3 electric truck and Vicinity Lightning electric bus product lines. Additional sales and distribution wins of our portfolio of electric vehicles were propelled by intense customer demand for commercial EVs, particularly in the class 3 segment with our VMC 1200. New government incentives for EV adoption in the pipeline are building interest and support from enterprise customers and government agencies as fleets seek to be part of our shared electrified future. The rising demand for our class 3 EVs, in particular, was demonstrated through our further $100 million purchase order for 1,000 VMC 1200 vehicles from the Pioneer Auto Group, a transformational milestone in Vicinity's evolution from an internal combustion engine bus OEM and to a multi-segment emerging leader in the electric vehicle space. The order validated the years of innovation, development and strategy that we've invested into our EV product lines, all with the goal of expanding our capabilities into new markets. As a clear indicator of this momentum, our sales backlog grew to over US$100 million, the vast majority of which are for electric vehicles. While the global automotive industry supply chain continues to impact our transit bus business, our VMC 1200 supply chain remains fairly insulated from these disruptions, delivery of many bus orders have been pushed into 2023, but initial VMC 1200 deliveries began in October, and we expect these sales to gradually ramp up and meet the immense demand we're seeing for this product line. Our first vehicles will be assembled here in British Columbia, Canada, and given that we believe we have solved the power switch issue, which we faced previously. By year-end, we expect that our Ferndale, Washington facility will have received our initial certificate of occupancy with final Ferndale production expected in the first quarter of 2023. To support our growing production goals, we are increasing our credit facilities to support short-term working capital requirements for the rapidly ramping VMC 1200 production. Taken as a whole, we are confident in our ability to drive significant revenue growth in 2023. During the quarter, we continued our aggressive expansion of our distribution reach across North America, adding dealers in Toronto, Canada for our VMC 1200 class 3 electric truck in Washington, Oregon, Idaho and Alaska for the Vicinity Lightning and Classic vehicles. As we saw from the Pioneer Auto Group's order, growing our distribution network is a key component of our future growth and our ongoing sales efforts. Now with that, I'll turn it over to Dan to review our financial results for the quarter ended September 30, 2022. Dan?
Dan Buckle: Thank you, William. Good afternoon, everyone. I will keep my portion to a brief review of our financial results. A full breakdown is available in our regulatory filings and in the press release across the wire after market close yesterday. Please note that I will refer to adjusted EBITDA and other non-GAAP measures. For the calculation of adjusted EBITDA and other non-GAAP measures, please refer to the Q3 MD&A, which is available on SEDAR. In addition, all figures are in U.S. dollars unless stated otherwise. Revenue totaled $1.5 million in the third quarter of 2022 as compared to $2.3 million in the third quarter of 2021. Revenue totaled $16.4 million for the nine months ended September 30, 2022, as compared to $39.4 million in the nine months ended September 30, 2021. The decrease is primarily attributable to lower vehicle deliveries due to global supply chain disruptions. Gross loss in the quarter ended September 30, 2022, totaled $0.2 million or 15% of revenue as compared to $0.6 million or 25% of revenue for the quarter ended September 30, 2021. Gross profit totaled $1 million or 6% of revenue for the nine months ended September 30, 2022, as compared to gross profit of $4.6 million or 12% of revenue for the nine months ended September 30, 2021. Gross margins were affected by product mix and a low volume of buses delivered with global supply chain disruptions affecting certain transit bus components continuing to delay deliveries. Cash used in operating activities in the nine months ended September 30, 2022, totaled $5.2 million as compared to cash provided by operating activities of $7.8 million in the nine months ended September 30, 2021. Net loss in the quarter ended September 30, 2022, was $7.4 million or $0.19 per share as compared to a net loss of $3.8 million or 13% – $0.13 per share in the third quarter of 2021. Net loss for the nine months ended September 30, 2022, was $14.1 million, as compared to a net loss of $2.5 million for the nine months ended September 30, 2021. Adjusted EBITDA loss for the three months ended September 30, 2022, was $2.7 million as compared to an adjusted EBITDA loss of $2.8 million for the three months ended September 30, 2021. Adjusted EBITDA loss for the nine months ended September 30, 2022, was $6 million, as compared to an adjusted EBITDA loss of $0.5 million for the nine months ended September 30, 2021. Cash and cash equivalents as of September 30, 2022, totaled $1.1 million, as compared to $4.4 million as at December 30, 2021. Subsequent to the end of the third quarter, the company fortified its balance sheet through an opportunistic $4.8 million raise utilizing the company’s at-the-market program. We are currently working on expanding our existing credit facility to support a quicker ramp-up in VMC 1200 production and further support our working capital position. We are well positioned to execute and the fundamentals of our operations remain strong. While we have suspended guidance for the full year 2022 given an uncertain supply chain environment, demand remains very strong, and we are well positioned for a high level of operational execution in 2023. I’d now like to pass it back to William to offer some closing remarks, after which we will begin our question-and-answer session.
William Trainer: Thank you, Dan. Looking ahead to 2023, we are incredibly well positioned for success, particularly as supply chains normalize, and we can resume full fledged transit bus production as we deliver upon our $190 million order backlog. Given the VMC 1200 doesn’t face the same supply chain pressures that the transit bus do paired with the significant incentives and subsidies available to end users seeking to electrify their fleets, we expect they will prove to be a significant contributor to our revenue growth and profitability. I look forward to providing additional updates in the months to come as we build the foundation for our customers to create a more sustainable public transit system and what I believe will be a record 2023. Now with that, I’d like to hand it back to the operator to begin our question-and-answer session. Operator?
Operator: Thank you, William. [Operator Instructions] Our first question is from Poe Fratt with Alliance Global Partners. Please go ahead.
Poe Fratt: Great. Good afternoon. I just had a quick question about just your production capability, and the timing of fulfilling the order, especially the 1,000 VMC 1200 trucks. My understanding is you have 50 per month potential out of Aldergrove and then fully configured as a truck capacity, Ferndale should be about 10,000 a year. Can you confirm those numbers and then also give us an idea of sort of how we should be looking at deliveries over the course of 2023?
William Trainer: Sure. It's going to be – we look at ramping up. We'll start delivering here out of our Aldergrove facility, which is correct, we can do about 50 per month out of this facility. But the real numbers are going to come out of Ferndale, Washington. And yes, we could, if we were running on full capacity down there, get it up to around 10,000 trucks, if we were just doing straight trucks alone. We set that facility up down in Ferndale to actually run dual lines to run bus and truck lines. So it's very well set up for that.
Poe Fratt: And when you do dual, can you give me a flavor for the mix between trucks and buses?
William Trainer: Yes, we can do – Dan, you've probably got the numbers better than I do. I think the numbers are – we could – if we're running both at the same time – I think we'd be close to 6,000 trucks that we'd be able to do out of there and about a couple 300 buses somewhere in that mix. 
Dan Buckle: Yes. The majority for next year would be trucks coming out of that facility.
William Trainer: Yes.
Poe Fratt: And congratulations to getting the switching equipment issue resolved. Can you just highlight what additional costs we should expect in the – it sounds like maybe in the fourth quarter, bleeding into the first quarter 2023?\
William Trainer: Yes, sure. Dan, you want to take that? 
Dan Buckle: Yes. So the facility is basically complete at this point. So we'll see maybe an extra $1 million of completion for the facility since Q3. But at this point, the landscaping is even complete. We're just waiting on the switching gear. There is still some equipment that will need to be purchased for the facility, but that will all be done through either leasing or equipment financing. So there shouldn't be a cash outlay from working capital for that portion of the facility, but that would be in the neighborhood of another potentially $3 million.
Poe Fratt: Okay. But again, financed against the equipment or asset based. When you look at your expansion of your working capital facility, can you just give a flavor for how much you're looking for as far as expanding the credit facility? And then once you have Ferndale CEO, [ph] would you potentially use that as a way to raise capital?
Dan Buckle: Yes, so it's a good question. I'm not ready to answer yet the size of the facility. We are working on a couple of different options right now and one of them is just amending our current ABL to fit a little bit more within the truck side of the business. But that's definitely a top priority for us right now. It's – we want to be to ramp up the truck production as quickly as possible, which is why we're looking at increasing the facility and really changing how it works. But as for the Ferndale facility, you're correct, it's unencumbered right now. So we have a potential asset that was worth somewhere in the range of $15 million to $20 million that we could finance against as well. 
Poe Fratt: Okay, great. And then, on the truck side, the deliveries there, I'm sorry on the bus side, the deliveries have been impacted by supply chain issues. Can you just talk about when we should see a recovery or a ramping up of bus deliveries? Is it fully resolved so that you should see a pickup in the fourth quarter? Or is it something we should expect in the 2023 timeframe? Thanks. 
Dan Buckle: Do you want me to take that?
William Trainer: Yes, it doesn’t matter. Yes, we see a lot of the bus deliveries that we currently have being able to be delivered through Q1 – starting in Q4, it’d be Q4, Q1 – you got to remember, we have a considerable backlog of buses to deliver here. But we do see the supply chain issue being addressed and being able to deliver those buses. We’re not immune to everybody realizes that the industry has faced some great difficulties with the supply chain on the bus side. That’s why when we look at the truck side, what I’d like to say is we have anywhere from 2,000 to 3,000 line items on a bus when we’re building a bus. We have about 500 on a truck. So the supply chain on the truck is a lot simpler.
Poe Fratt: Great. Thanks for your time.
Operator: [Operator Instructions] The next question is from Robin Cornwall with Catalyst Research. Please go ahead. 
Robin Cornwall: Hi, thanks for taking my questions. I was wondering if the electrical fix on the plant, that’s a full fix or still partial fix.
William Trainer: No, it is a partial fix, Robin, but it does allow us to start the factory up. The main switching gear should come in, and I think it’s scheduled to come in March sometime. So it would be up and running by April, but we want to get – we want to start producing the trucks down there as soon as we can. So that’s why we’ve got a temporary power solution coming in there. It will allow us to basically operate in there, but there’s some things that we won’t be able to operate like the major cranes and the paint booth, but we’re not foreseeing that holding up our truck deliveries.
Robin Cornwall: So that will, as you say allow you to get occupancy?
William Trainer: Occupancy and usage of the facility.
Robin Cornwall: Okay. I want to go back to the Optimal truck – chassis. Is there any update on the chassis that you were in short supply?
William Trainer: No, we really don’t have any update on the Optimal at this point.
Robin Cornwall: So there is no likely production of that you foresee in like 2023?
William Trainer: Yes. No, I just – at this point in time, I can’t give an update on it. It’s got I don’t have any comment on that at this point.
Robin Cornwall: And tell me, are the margins for the trucks going to be similar to the buses. Is there some economics there that you can share with us on that?
Dan Buckle: Yes. So margins on the trucks are higher than our regular bus margins. Right now, we’re expecting margins that could range from the low 20s to around 30% for trucks. And it’s dependent on a few factors, really, but foreign exchange being one of the – but right now; it’s definitely a very, very positive product for us.
Robin Cornwall: Okay, and the – okay, sorry. I think that’s all for me. Thank you.
Dan Buckle: Great. Thanks.
Operator: This concludes our question-and-answer session. I’d now like to turn the call back over to Mr. William Trainer for his closing remarks.
William Trainer: Thank you, operator, and I’d like to thank each of you for joining our earnings conference call. We look forward to continuing to update you on our ongoing progress and growth. If we are unable to answer any of your questions, please reach out to our IR firm, The MZ Group, who would be more than happy to assist. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.